Operator: Greetings, and welcome to the Clean Energy Fourth Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only-mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Tony Kritzer, Director of Investor Relations. Please go ahead.
Tony Kritzer - Director-Investor Relations: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the fourth quarter and full year ending December 31, 2014. If you did not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties, and assumptions that are difficult to predict. Words of expression reflecting optimism, satisfaction with current prospects, as well as words such as believe, intend, expect, plan, should, anticipate, and similar variations, identify forward-looking statements. But their absence does not mean that the statement is not forward-looking. Such forward-looking statements are not a guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy's Form 10-K, filed February 26, 2015. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call, and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP, and should not be considered as a substitute for, or superior to, GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA, and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. Participating on today's call from the company is President and Chief Executive Officer, Andrew Littlefair; and Chief Financial Officer, Bob Vreeland. With that, I will turn the call over to Andrew.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Thank you, Tony. Good afternoon, everyone, and thank you for joining us. I'm pleased to report our fourth quarter and full year 2014 operating results. For the quarter, we delivered 72.4 million gallons to our customers, another record quarter. This is a 30% increase over the 55.5 million gallons we delivered during the fourth quarter of 2013. For the full year, we delivered 265 million gallons, up 24% over the 214 million gallons we delivered in 2013. We reported fourth quarter revenue of $131 million, up 54% over the $85 million we reported during the fourth quarter of 2013. For the full year, we reported revenues of $428.5 million, up 21% over last year. Both these 2014 figures include $28.4 million of the alternative fuels tax credit, which we were able to recognize in the fourth quarter. The alternative fuels tax credit was previously referred to as VETC. From an adjusted EBITDA perspective for the fourth quarter, we were positive $37.2 million. But when backing out the tax credit and the McCommas plant sale gain this quarter, we were negative $3.2 million. This loss included approximately $4 million of write-downs for stations we decided not to build, and other inventory charges. Otherwise, we were better than EBITDA breakeven for the fourth quarter, and we believe we'll be adjusted EBITDA positive for 2015. Before I get into the company's highlights I want to spend a moment to discuss the current oil price environment and how it affects our business and industry. As you're all well aware, oil has seen a dramatic six-month decline, and our stock has been trading in very tight correlation with the price of crude, despite having very little exposure to it from a commodity perspective. It's also important to note that diesel, our primary competing fuel, has not fallen at nearly the same rate as oil or gasoline prices and in the last few weeks has rebounded over 4%. Interestingly, gasoline has risen on average $0.78 a gallon during the past month in the Los Angeles Basin. Our feedstock, natural gas, has also seen a sharp price decline, down over 39% since its November peak. These lower natural gas prices have allowed us to still provide meaningful fuel savings for our customers and maintain attractive margins for ourselves. This is not to say that we have not seen some margin compression from our fuel price, but our margin has held relatively steady. We continue to see our existing customers invest in their natural gas fleets, and our new customer prospects remain very strong as well. Note this, out of the 600 fleets in our pipeline, only one has put their plans on hold because of the oil price. Only one. Despite this oil and diesel environment, our core markets of transit and refuse continue to show steady growth, and prove out the long-term viability of natural gas fueling. In our refuse market, we continue to strengthen our partnerships with the largest waste companies in the country. In 2014, Waste Management purchased over 800 CNG trucks, accounting for roughly 90% of their new truck purchases. It appears that they will maintain that rate in 2015. They now have a fleet of over 4,000 CNG trucks operating at more than 70 stations. Republic Services ordered over 360 CNG trucks, added six new CNG station sites, and upgraded eight of their existing sites. They now operate a fleet of over 2,000 natural gas trucks. Additionally, we continue to win contracts with smaller, regional haulers throughout the country. We currently work with close to 250 refuse fleets, representing over 9,000 natural gas trucks. For the year, we completed 25 refuse projects. For the fourth quarter of 2014, our volume growth in refuse was almost 43% over the fourth quarter of 2013, and we are proud to report a nearly 75% market share. Our Transit market continued to grow in 2014. Most recently, we announced a major partnership with Jacksonville Transit Authority to build and operate a new CNG station to support their transition of 100 buses from diesel to natural gas. For the year, we signed up bus fleets or have done major upgrades in Dallas, Jacksonville, Tampa, Kansas City, Las Vegas, El Paso, Santa Monica, along with several others. We expanded our Canadian business in 2014, opening a major station for BC Transit on Vancouver Island, and we're commissioned to build a second station for them as well. These new transit partners contributed to us delivering more than 100 million gallons, our highest annual total ever in that sector. We see strong interest in growth at transit agencies across the U.S. and Canada. In our heavy-duty trucking market, we see more fleets ordering more trucks, and we expect engine orders to continue to grow. We continue to sign fueling deals and open stations for new customers, and are seeing existing natural gas truck fleets increase their orders. For the year, we signed deals with 66 trucking fleet operators that are either new or expanding their natural gas operation. The trucks ordered by these operators are expected to use approximately 14 million gallons annually. We delivered 42% more gallons this year in trucking, and had our highest volume quarter to date in that sector. We continue to make progress on the incremental cost of the truck. We are still in the early stages, and we're working with all the OEMs, dealers, and equipment suppliers in the natural gas fueling space to bring down these costs. Earlier this month, we announced a joint CNG program with Agility Fuel Systems, the leader in CNG storage and delivery systems. This is a nice complement to our existing LNG tank program with Chart Industries, a leading supplier of LNG Fuel Systems. A few weeks ago, we completed our largest order of LNG tanks yet, bringing our total tanks sold with Chart to nearly 500 in the past 12 months. In addition to these tank programs, we have our leasing program, network fuel deals, demo trucks, and the dealer program. We also offer a low cost option to modify fleet maintenance facilities. Now the bottom line is, we've put several programs in place to address the incremental cost, and our efforts are being well received by trucking fleets. Few of the trucking deals that we were proud to announce this year were the first LNG fleet deployment of Kroger's Fred Meyer Stores in Oregon. We continue to support UPS's deployment of the largest LNG fleet in North America with the opening of our Houston Flying J station for them. We now fuel over 200 UPS trucks at eight stations in our network. We signed a multi-year fueling agreement with Dillon Transport which will open three new CNG stations, one of which is completed. We began fueling the first heavy-duty natural gas fleet deployed by Bimbo Bakeries, the largest baker in the United States. We continue to see the leaders in the trucking industry, whether it's Ryder, Penske, or UPS, make significant investments in expanding their natural gas fleets and capabilities. Ryder, one of the largest truck leasing and logistics companies in the world, recently announced that it will be providing NGV training to its entire North American maintenance staff, encompassing more than 6,000 employees throughout their 800 maintenance facilities. This comes on the heels of Ryder late (10:05) January announcement that they surpassed the 30 million mile mark with their fleet of over 750 natural gas vehicles, which were first deployed in 2011. Penske, the other major leader in the truck leasing industry has deployed their first fleet of trucks, which we began fueling in our station network. In our Mansfield Clean Energy Partners venture, we opened our first joint station in Doraville, Georgia, with anchor fleet customers and have identified several other strategic locations including Tampa, Florida, where we're looking to open a station later this year. Now, I'd like to give you a brief update on our newest venture with NG Advantage, the natural gas delivery company that targets energy-intensive customers who operate beyond the reach of a natural gas pipeline. With their 45 natural gas trailers, NG Advantage currently supplies gas to 22 different industrial and commercial customers, primarily in the Northeast. They delivered 3.5 million gallons in the fourth quarter, and we expect those volumes to continue to increase sequentially, and are very encouraged by some of their large customer prospects. In total this year, we completed 68 station projects for ourselves and our customers in our various market sectors including trucking, refuse, and transit. Our construction revenues for 2014 were close to $70 million, up 160% over 2013, driven primarily by stations we built and sold to customers. Now turning to our Renewable Fuels Division, at the end of the year, we announced the sale of our remaining 51% stake in the McCommas Bluff facility in Dallas. This is a great outcome for us, as we're able to earn a nice return on our initial investment in the plant, and we will still be marketing all the gas produced there. For the year, we sold over 20 million gallons of Redeem and continue to expand our supply portfolio. I'd like to provide an update on our capital program for 2015. We spent $86.2 million in CapEx in 2014. And as you know, we've already invested in building the initial network of stations across the country, and we feel it is well positioned to meet current and future demand. We intend to decrease our CapEx in 2015, and any CapEx will be for stations with anchor customers and committed volumes. For Clean Energy's core operations for the company, we are targeting $38 million of CapEx in 2015. NG Advantage's CapEx should be roughly $21 million, much of which is for high pressure trailers that we will be able to finance. We are focused on continuing to open stations with anchor fleet customers and increasing the utilization of existing stations. At the end of 2014, we had $215 million of cash and investments on the balance sheet. We're going to continue to control our operating expenses, be disciplined with our capital and work to grow our volumes. Case in point, our SG&A was $10 million less in the last six months of 2014 versus the first six months of the year. We believe our volumes are going to grow consistent with historic levels. We're not seeing a loss of customers despite the oil environment. And for the year, we believe our adjusted EBITDA will be positive. And with that, I will turn the call over to Bob.
Robert M. Vreeland - Senior VP, Chief Financial & Accounting Officer: Thank you, Andrew, and good afternoon to everyone. I'll start with some summary comments, and then go through our volumes then financial results in more detail after that. Overall, volumes and revenues continue to grow, while we control expenses and leverage the existing infrastructure of the business. Now as Andrew mentioned, we made some strategic decisions in the fourth quarter that resulted in about $4 million of incremental charges over the last quarter, but this will help going forward. As well the legislation for alternative fuels other than ethanol or VETC was extended into December 2014, so we recorded $28.4 million of VETC revenue in December. Our leverage of the business can also be seen in our capital expenditures, which remained relatively flat in 2015. And as Andrew just mentioned, are expected to be reduced – sorry, in 2014 and are expected to be reduced in 2015. We sold our interest in our Dallas biomethane plant at the end of 2014, allowing us to take out approximately $50 million in debt, while putting around $30 million in the bank. Lastly on the acquisition front, we acquired a majority interest in NG Advantage that is expected to more than replace any volumes we lose from the Dallas biomethane plant that we sold. And we saw our first station opened with respect to our equity investment in Mansfield Clean Energy partners. Now onto some of the details. The volume growth in the fourth quarter of 2014 compared to 2013 of 30% was led by our CNG refuse and trucking sectors, which both had increases greater than 30%, along with growth in our transit sector. Our customers continue to add to their existing investment in natural gas vehicles, as well as in fueling stations. And this is important because this drives volume growth while incrementally adding to our recurring revenue model. NG Advantage accounted for approximately 3.5 million gallons in the fourth quarter. For the fourth quarter of 2014, our CNG volumes were 52 million gallons compared to 37.1 million gallons in the same period in 2013. Our LNG volumes in the fourth quarter of 2014 were 17.3 million gallons compared to 14.8 million gallons in 2013. And our RNG volumes were 3.1 million gallons in the fourth quarter of 2014 compared to 3.6 million gallons in the same period in 2013. Volumes for 2014 were 265.1 million gallons compared to 214.4 million gallons for 2013, representing a 24% increase on a year-over-year basis. For the full year 2014, our CNG volumes were 182.6 million gallons compared to 143.9 million gallons in 2013. Our LNG volumes were 70.3 million gallons in 2014 compared to 60 million gallons in 2013. And our RNG volumes were 12.2 million gallons in 2014 compared to 10.5 million gallons in 2013. Quarter revenue was $132.1 million in 2014 compared to $85 million in 2013. The fourth quarter revenue of 2014 includes $28.4 million of VETC and the fourth quarter of 2013 includes $7.3 million of VETC. The $28.4 million represented VETC for the entire year of 2014, whereas in 2013 the VETC of $7.3 million was just for the quarter. Exclusive of VETC, revenues in the fourth quarter of 2014 grew $26 million, or 33% over the same period in 2013. This growth was attributed to our volume growth and continued strong station construction revenue. For the year ended December 31, 2014, revenue increased to $428.9 million, up from $352.5 million a year ago. Noting that 2014 includes $28.4 million of VETC and 2013 includes $45.4 million of VETC, of which $20.8 million related to the full year of 2012 that we recorded in the first quarter of 2013. As well, 2013 included $7 million in revenue related to BAF, a vehicle conversion subsidiary we sold in June of 2013. Exclusive of the VETC and BAF, revenues grew 33% in 2014 compared to 2013. This growth was attributed to our volume growth, construction revenues, and IMW compressor sales. On a non-GAAP basis, for the fourth quarter of 2014, we reported income of $0.11 per share. This compares with a non-GAAP loss of $0.25 per share in the fourth quarter of 2013. The fourth quarter of 2014 included the full year of VETC of $28.4 million, and a gain of $12 million from the sale of our interest in our biomethane plant in Dallas. While the fourth quarter of 2013, included $7.3 million in VETC. Adjusted EBITDA in the fourth quarter of 2014 was $37.2 million compared to adjusted EBITDA of minus $1.8 million in 2013. The fourth quarter of 2014 included a total of $40.4 million related to both the VETC and the gain on the sale of the biomethane plant. And 2013 fourth quarter included $7.3 million of VETC. Exclusive of the VETC in 2014 and 2013 as well as the gain on sale in 2014, adjusted EBITDA was minus $3.2 million in the fourth quarter of 2014 versus minus $9.1 million in 2013 fourth quarter. The fourth quarter of 2014 was impacted by incremental cost of $4 million associated with stations that we cancelled, and inventory charges. Otherwise, the fourth quarter of 2014 was slightly better than breakeven adjusted EBITDA. Looking forward, we are planning to be positive adjusted EBITDA for 2015, although the first quarter is expected to be challenged mostly by lower volumes at IMW. As we maintain control over operating expenses and continue to grow volumes, adjusted EBITDA will improve as we move through 2015. For the year ended December 31, 2014, adjusted EBITDA was $23.7 million compared to $33.6 million in the prior year. Note again that the year-ended December 31, 2014 includes a total of $40.4 million from VETC and the gain on sale of subsidiary. And 2013, includes $59.5 million of VETC and a gain on the sale of our vehicle conversion subsidiary BAF. Exclusive of VETC and the gains from the sales of our subsidiaries, adjusted EBITDA was minus $16.7 million for 2014 compared to minus $25.9 million in 2013. Adjusted EBITDA and non-GAAP EPS are financial measures we developed to highlight our operating results, excluding certain large, non-cash or non-recurring charges or gains, which are not core to our business. Adjusted EBITDA and non-GAAP EPS are described in more detail in the press release we issued earlier today. Our net income on a GAAP basis for the fourth quarter of 2014 was $1.3 million or $0.01 per share compared to a net loss of $32.3 million, or $0.34 per share in 2013. For the full year 2014, our net loss on a GAAP basis was $89.7 million, or $0.96 per share compared to a net loss on a GAAP basis of $67 million, or $0.71 per share in 2013. The quarters and full year include a variety of charges and non-cash items, as noted in our press release. Our SG&A expenses are lower between period due to our cost reduction efforts in the second half of 2014, due to control of head count and discretionary spending, as well as a decline in stock-based compensation. We expect to hold our SG&A relatively flat in 2015 despite continued volume growth, and taking into account we will have additional SG&A costs associated with consolidating NG Advantage. Our interest expense was also up between periods, primarily due to the interest charges we are incurring on our convertible notes we issued in June 2013 and in September 2013. Our annual interest expense will decline next year, primarily due to our reduction in debt from the sale of our interest in our biomethane plant that carried approximately $35 million in debt, and our paydown of approximately $13 million and other long-term debt related to that sale. Some of the decline will be offset by new equipment financing. Our gross margin this quarter was $52.2 million which compares to $27.7 million in 2013. For the year ended 2014, our gross margin was $120.2 million compared to $127.7 million. The gross margin for the fourth quarter and year ended December 31, 2014 include $28.4 million in VETC. And the fourth quarter and year ended December 31, 2013 include $7.3 million and $45.4 million of VETC revenues respectively. Our margin per gallon this quarter was down $0.02 from the last quarter to $0.26 per gallon. The decrease was primarily from the impact of the low oil environment and to a lesser degree, a lower amount of redeemed credits recognized. Our cash balance plus short-term investments totaled $215 million at December 31. Our gross debt has declined $49.7 million compared to the end of 2013, primarily from the sale of our biomethane subsidiary and related payoff of other long-term debt. And as mentioned, capital expenditures totaled $86.2 million and are expected to decline in 2015, as noted by Andrew. With that, operator, please open the call to questions.
Operator: Thank you. Ladies and gentlemen, at this time we will conduct our question-and-answer session. Our first question comes from Eric Stine with Craig-Hallum. Please state your question.
Aaron M. Spychalla - Craig-Hallum Capital Group LLC: Yeah. Hi, guys. It's Aaron Spychalla. Congrats on the quarter.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Thanks, Aaron.
Aaron M. Spychalla - Craig-Hallum Capital Group LLC: Yeah, maybe first on the Agility partnership, can you give us a sense for maybe some of the expected improvements in systems costs, and improvements in payback periods that you guys might be targeting from this? And just comment a little bit on some of the early traction you might be having there.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yes, thanks. And we've seen this, as you know, Aaron, we just a signed that deal with Agility. Of course, we've been working with Agility for a long time. But on this tank deal with CNG cylinder packages, we've just launched that, and we are seeing some good traction. I mean, the bottom line here is we're able to reduce the cost of the tanks substantially. I don't know that I want to give you exact number, but it's substantial. It can reduce, depending on the tank package, a truck cost by as much as $10,000. So it's very important in the – as we're trying to reduce the cost of the incremental cost of these trucks. We've already seen great success in that, which would be somewhat similar on the LNG tank packages that we've done with Chart. And of course, our customers are the beneficiaries of this, and it's – I think, it really beginning to provide some traction.
Aaron M. Spychalla - Craig-Hallum Capital Group LLC: Very good. Thanks. And then maybe secondly on IMW. Could you just give us an update there? I know you mentioned maybe it will be down a little bit in Q1 to start the year. But could you just talk about the outlook there, maybe particularly in China? I saw at the end of the year, last year, that they – China Gas secured some funding for a station build-out. So a little color there, please.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah, they did. You're right. We've got an $8 million purchase order towards the end of the year, so we continue there. I would say, though, it's been a bit slower in China than we'd like. We still have a very good customer in China Gas. And as you say that in the fourth quarter, we did receive an order for about another 35 compressor equivalent blocks, the way we think of it. So that continues. Though we are working hard on sales around the world with IMW, we've a new sales force in place. We're beginning to see the pipeline improve. We're continuing to work on our production and quality there. I think there is still some things we need to do to bring to the market a package that is – we are working hard, Aaron, to see if we can't have a package that we can really turn out that's less customized. And so, we've been working diligently to reduce the options and wring some cost out of that. And that's ongoing. We believe, though, in the second and third quarters we'll see that help. But I think sometimes the first quarter can be a bit slow for IMW. And I think we'll be a little bit challenged here in this current quarter.
Aaron M. Spychalla - Craig-Hallum Capital Group LLC: Okay. Thanks for the color, and again, congrats on the quarter.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Okay. Thank you.
Operator: The next question comes from Rob Brown with Lake Street Capital Markets. Please state your question.
Rob Brown - Lake Street Capital Markets LLC: Good afternoon.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Hi, Rob.
Rob Brown - Lake Street Capital Markets LLC: Could you just kind of go over the current payback scenarios right now in the current oil and natural gas price environment? Where is it at in terms of months, or how do you kind of lay it out at this point?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah, it's different with (29:28) every customer depending on how much fuel they use. But of course obviously our national truck team is targeting (29:33) really the highest mileage trucks. And so, often they use 20,000 gallons a year. In fact, I was with two customers last week, and one of them uses 35,000 gallons a year, so we focus on those who use a lot of fuel. Before we had the oil move down, it was – often we could provide the customers as much as $1.50 discount between – somewhere between $1 and $1.50 between that and diesel – natural gas and diesel, on a diesel gallon equivalent. That's come in some. I was looking this morning at the Port of Los Angeles for our good customers down there that have volume discounts, they're still getting about $0.85 to $0.90. And so it's come in some, so it's pushed that payout some. That's why we're working so hard on the incremental cost. And obviously if we can take $10,000 out, that's significant. So it's pushed it out some, but I think it's important for people to realize that we still have an economic advantage. And in the alternative fuel game, not many people can say that. So we're still able to offer the customer now anywhere between $0.75 to a little over $1 a gallon. So if you're using 20,000, 30,000 gallons and the incremental cost is $35,000, you could see anywhere between a year and a year and a half payback for the highest mileage users.
Rob Brown - Lake Street Capital Markets LLC: Okay, great. Thank you. That's a good overview. And then on CapEx, I think you gave a couple figures. Is that basically a total of about $59 million for the year? And maybe just go into what kind of – is that the total? And second is the kind of what could step that up or what could bring that down?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Well, we can always move it down, if we don't like to see the – if we don't like the business environment or if something changes. Just like last year, we had an initial capital plan of $135 million, and we brought it in to $86 million. So that, as you know, as we build these stations, that's really incremental. So we don't have any big projects that we're hugely committed. Those are spread out throughout the year. You're right; it's $59 million, $21 million of that is at NG Advantage. I think it's important though on this $38 million for our kind of core station construction and even the $21 million in NG Advantage, this is really for contracted load and contracted customers. So there isn't any spec station spending in here. We've done some of that, and we have those stations in place, we're opening those. So this is for anchor tenants and customers. So what could drive it up – and sort of a good thing, is we have some very large customers that are circling around at NG Advantage that would require a big station, so that could be incremental to that. And we're seeing some new trucking deals that would require some new LNG and CNG stations that would be on top of what we already have in place. But I think, generally, that's probably a pretty good number that we're going to try to work toward. And as I mentioned in my remarks, Rob, of that $21 million at NG Advantage, I don't want to give the exact percentage, but a good portion of that we're going to finance.
Rob Brown - Lake Street Capital Markets LLC: Okay. Thank you for the color.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah.
Operator: Our next question comes from Jeffrey Schnell with Jefferies & Company. Please state your question.
Jeffrey Schnell - Jefferies LLC: Good afternoon. Andrew, you mentioned a quarter or two that the competitive dynamics have tilted in your favor, and that many others with aggressive station plans have scaled back or left the industry. Would you mind commenting or giving an update on the competitive advantage (33:22) you're seeing today?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah, I don't know. That sounds maybe like me. I'm not sure that a whole bunch of them have left the industry. I know that this is a very difficult environment, though, for very small regional players. And you, like us, have watched these announcements or people (33:38) announcing a couple stations, maybe at a Circle K. We've been there, and this is a difficult environment to build a million dollar station kind of focused on light-duty customers. I wish them all success in that, but I know that's difficult right now. So, we've seen some – it appears to us that we've seen some competitors kind of pull back. I don't know that droves of them have left the industry. I just know that this is a difficult environment for smaller players. And we've seen this before. I've been in this long enough to see this spike happen two times or three times and it washes out some of the smaller players. It's just, it's difficult if you really don't have the size and capability and the customer base. That's one of the things that I like to remind people, we have a really big customer base with recurring – these people spent millions of dollars in investments and vehicles, and they are buying fuel and will buy fuel on an ongoing basis for years to come.
Jeffrey Schnell - Jefferies LLC: Great. And then could you give us an update or any color on how the discussions with new contracts have evolved, given the decline in oil? And also the stations you decided against building, what was the thought process there? Was it regional issues, or you couldn't find a base tenant?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah. Let me – the first is, of course, as the price of oil has come in and diesel has come down, they all look at it. And I would say those people that are on the fence or that were wanting – maybe skeptical, this gives them a pause. But I think sort of on a good note is that I don't think many of our customers believe that this low price oil environment is here for a long time. I think we'd be having a different discussion today if we all thought oil was going to be at $48 for the next two years or three years. Then, I think it would be different. But most of our customers have seen this volatility on the oil side before. And I think most of them believe you're going to have a higher oil price a year from now then you do today. And as I said in my remarks, and to me this is really key, is we really only have one – and I am not going to name them, but they were in response to a big company that asked their people to use natural gas into their haulers. And in the final throes of that discussion, they were permitted to (36:06). That's the only one out of a big pipeline that we have. And then, on the other hand, of our existing customers, we haven't lost a single one. We haven't had anybody say, you know what, I did this thing, and this just doesn't make sense any more. The second part of your question, I kind of forget, it was --
Jeffrey Schnell - Jefferies LLC: It was the stations you decided against.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yes, okay. No, good, thank you. A lot of those were stations that we started looking at really in 2013, and in 2014 toward the end of the year, as we began to kind of rationalize what we're doing forward, wouldn't say it was – they weren't canceled because of regional problems (36:46). It's really we were doing exploratory work and feasibility studies, but we were doing it on quite a few, as we have to, to keep the pipeline up. And these were just (36:58) other places where we just felt like, with our existing heavy-duty truck – we have about 100 – over, now, 100 truck-friendly locations. We felt like, unless we had an anchor tenant and really contracted volumes, now was not the time to be -- there may be a time for it, but right now we felt like just the best thing to do is just kind of pull that in. And that is one of the reasons why we're able to – we had to take that charge on it, but we were able to bring in the CapEx, too, for 2015.
Jeffrey Schnell - Jefferies LLC: Thank you.
Operator: Thank you. Our next question comes from Rob Bennett with Dougherty & Company. Please state your question.
Rob Bennett - Dougherty & Company: Hi, this is Rob Bennett on for Andrea James. Thanks for taking my question.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah.
Rob Bennett - Dougherty & Company: What are the most relevant engines you are seeing coming to market, and when do you expect to see them? And then the follow-up is you mentioned you had about 600 fleets, and only one have put any plans on hold. I'm just wondering if there's any change in the development plans because of the current market – the oil market.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Well, obviously, the most relevant engines, I think the first part of your question, Rob, is it's the 9-liter, which we see in the transit buses. It's the Cummins Westport 9-liter we see in the transit buses and the refuse. And of course, in the heavy-duty market, it's really the 12-liter. Volvo has slowed down, or sidelined for now, their entry with the 13-liter. And I think the next engine that obviously we would like to see, and I think some in the market are kind of pushing for, is maybe a little bit bigger engines, perhaps, or a more higher horsepower offering of the 12-liter, but it would be a 13-liter. And I would say, as our discussion here over the last couple questions, well, what's changed? As you know, these guys that make engines, they have long product cycles, and this kind of thing, staring at the face of $50 oil, I'm sure that that gives them pause, too, to come out with new engines. But we've seen this in a time – I was just at a dinner last night with some Cummins executives, and I recalled that in 2001, they stopped making a natural gas engine, and then they came back into the market after things had changed with the market. So, we see these offerings kind of come and go. We need more engines. And I would think the next couple that you'll see will maybe be a little bit higher horsepower.
Rob Bennett - Dougherty & Company: Great. Thank you.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah.
Operator: Our next question comes from Noah Kaye with Northland Capital Markets. Please state your question.
Colin W. Rusch - Northland Securities, Inc.: Thanks so much guys. This is Colin Rusch just filling in for Noah this afternoon. Can you talk a little bit about the opportunity to potentially roll up some distressed assets in the industry? Clearly, you guys have a lot of expertise in operating these stations more effectively than other folks. And if you've got a bunch of little investors pulling off single-digit or small double-digit system – or stations, can you buy these things up and add to the portfolio in an effective way? Or are the economy is just not there?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah, we have to watch that, right? As Boone always used to tell me, you can go broke buying bargains, right. So a lot of these stations would be a station that will be underutilized, and would be perhaps light-duty in nature, light-duty fleets. And so some of them, I think, we would find just don't really fit. Now, having said that, there will be opportunities, and we'll get a chance to look at a lot of them. We've had some discussions with some that have a little bit larger footprints that I think may come to the market. We just have to look at how they're organized and how they fit with our markets in trucking. There will be locations we're going to like, and then there will be some that just won't really fit us. Over the years, though, we've done this, right? So we bought stations in New Mexico and in Texas, and all the Brooklyn Union National Grid (41:11) stations. So we've done this before, and we'll look at it again. We obviously are going to balance that with our capital and with our cash. And so we'll have to put that all in the mix. But I would think, in 2015, you're going to see some of these – there's going to be some consolidation. And some of it, you're going to find attractive, and some of it, you might just have to pass on.
Colin W. Rusch - Northland Securities, Inc.: Great. And then when you're negotiating on new deals, I have to imagine that you're in a better position relative to other fuel providers, even though you've had a lead for a number of years. How much are you able to press your advantage on that in terms of taking share of the spread at this point with customers?
Andrew J. Littlefair - President, Chief Executive Officer & Director: Well, one of the things I think is our biggest advantage is that we're really one of the only fuel providers out there that can provide LNG and CNG, and frankly, in RNG, renewable natural gas. We're really the only ones that have that capability. And so we really are an honest broker when we're going to the customer, and we're able to give the customer the kind of fuel they really need. We're not having to push. People thought perhaps we were pushing just LNG, but we sell more CNG than we do LNG, and we've built more CNG stations than just anybody in the business. We've 244 stations, and operate 293 others, with 549 stations. So we've experience. The other thing that helps us is having IMW. While IMW has been giving us a little bit of a challenge, when you look at those 80 other people in this business that are out there buying compressors, many of them buy from one other company. And we just don't want – are fortunate, I think that we don't, and some of our big customers like Waste and Republic and others, where we provide them the stations and design and build and operate them for them, and sell them the station, we have our own compressor manufacturer. And it gives us really a leg up to be able to use that effectively. So, it's that we have a big network of stations, we're able to also – I think maybe you're correctly getting this is that we're able to work with these national fleets, we have a national network, and we're in 45 states. And we have these big heavy-duty truck stops now really up and down the Interstate. So we could really respond to those big fleets that we will begin to move this way. So I think it's that we have all the different kinds of fuel that the customers want. We've build a lot of stations that have the experience, and we have IMW. So that gives us, I think, really an advantage over some of our other competitors.
Colin W. Rusch - Northland Securities, Inc.: Great. Thanks a lot, guys.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Okay.
Operator: Thank you.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Yeah, operator, is that it?
Operator: Yes, sir.
Andrew J. Littlefair - President, Chief Executive Officer & Director: Okay. Well, thank you, everyone, for listening this afternoon. We look forward to updating you on all of our progress next quarter.